Operator: Ladies and gentlemen, welcome to the Vistaprint Fiscal Year 2015 First Quarter Q&A Earnings Conference Call. My name is Adrian, and I will be your operator for today. This call is being hosted by Robert Keane, President and CEO; and Ernst Teunissen, Executive Vice President and CFO. Before we take the first call, as noted in the safe harbor statements at the beginning of the earnings presentation, comments may include forward-looking statements, including statements regarding revenue and earnings guidance, and actual results may differ materially. Risks that could impact these statements are described in the documents that are periodically filed with the Securities and Exchange Commission. [Operator Instructions] Now we'll proceed with the first call.
Operator: Your first call comes from the line of Youssef Squali of Cantor Fitzgerald.
Youssef H. Squali - Cantor Fitzgerald & Co., Research Division: Two questions, please. In the numbers you put out last night, I was just wondering if you could help us or you can point to metrics that show that, just broadly speaking, that your strategy of moving more towards customers with higher expectations is actually working, or will it take more time for that to become apparent? And second, if I look at orders growth, it had decelerated both on a year-on-year basis and sequentially. Just trying to understand whether we may see a resumption of growth in that metric this year, or is most of the growth still going to primarily be driven by growth in AOV?
Robert S. Keane: Youssef, I -- this is Robert speaking. I would, first and foremost, point to AOV, and what you see is a multiyear increase. And we've continued to see that shifting up and to the right. And clearly, we are bringing in slightly fewer customers than we were before, but the value per customer is higher. The second thing I'd point to is our trailing 12-month bookings per unique customer, which has consistently moved up and to the right. It's a steady, slow movement as we shift towards the balance as more of the higher-expectation customers and fewer of the price primary. Again, the price primary is a market which is driven a lot by impulse purchases, and we are not abandoning it by any means. But the mix is slowly shifting. So the move from $67 almost 2 years ago to $75 in average trailing 12-month bookings is a result of that. We're also seeing some interesting movements underneath the statistics that you can see but more on a cohort-by-cohort basis. Overall, we're -- we see good gross profit per customer increases across all our regions, which is a very good sign, and gross profit per customer is a very good indicator of lifetime value. But we're now also starting to see revenue growth and improving repeat rates within the customer sets that we are really -- who we care about in the sense that they're very -- doing some very serious marketing. They're higher-value customers. And we're seeing, in general, a shift towards more higher-quality, higher-profit customers in -- as a percentage of our total customer base.
Youssef H. Squali - Cantor Fitzgerald & Co., Research Division: Okay. And on the AOV -- sorry, on the order growth?
Robert S. Keane: So order growth year-on-year was flat in North America. It was -- it declined in Europe. But the average order value went up in both regions and went up significantly in Europe.
Meredith Burns: He's asking about the future, [indiscernible].
Robert S. Keane: And so that has been very -- a very positive sign. And the order decline, particularly in Europe, has been a direct function of how we go to market right now and how we are targeting these more attractive customers. So prospectively, the -- we would anticipate continuing average order value growth going forward, and we would continue to see a trade-off with order growth as we continue the strategy that we've embarked on in both Europe and North America.
Operator: Your next question comes from the line of Paul Bieber from Bank of America.
Paul Judd Bieber - BofA Merrill Lynch, Research Division: I was hoping you could provide some color on some individual country performance in Europe. How is U.K., Germany and France trending since you rolled out the pricing changes at different times over the last 12 months? And then related to that, perhaps you could give some high-level commentary on some gross profit trends in Europe, excluding the acquisitions, by the individual countries.
Ernst J. Teunissen: So starting with revenue growth, with bookings growth, so we saw good sequential growth in the markets where we had made these changes last year, in the U.K., in Germany. And both in the U.K. and Germany, we saw growth increase from the levels we had seen in the fourth quarter. The U.K. is now nicely in positive territory in terms of its growth. Germany still has negative year-on-year growth but substantially better than we saw in the third and fourth quarter. We've made -- many of the changes that we had made in Europe -- in Germany and the U.K. last year, we made in this quarter in France, and France responded well. Growth sequentially was down in France, but we had expected that. But the growth there was positive and performed really as expected. In terms of gross margin, if you take out the acquisitions and look at it more like-for-like, year-on-year, gross margin moved slightly favorable this quarter overall, but we don't give a deeper breakdown by country for gross margin.
Robert S. Keane: And you asked specifically about gross profit, and obviously, with the revenues up in certain markets, gross profit increased in those markets.
Meredith Burns: And I think one of the other things, too, that you're seeing in Europe, in particular, is contribution margin per customer is coming way up. And as you know, last year, we pulled back pretty hard on our advertising spend in Europe; still spending but quite a reduction from the FY '13 period in order to get those customer economics back in line with the expected LTV coming in from those customers. And we hope to be in a position this year, if our growth rates continue to improve in Europe, that we can loosen that up a little bit. But if you look at a country like the U.K., for example, which has been through now a year post its pricing and channel change reinvent, we are seeing improved growth rates in the U.K. on lower advertising as a percentage of revenue, which is what we saw in Canada as well, once we had passed sort of the anniversary of those channel and pricing changes. So that's very encouraging to see.
Operator: The next call -- question comes from the line of Chris Merwin of Barclays.
Christopher Merwin - Barclays Capital, Research Division: So you talked a bit about the uptick that you've seen in AOV, and I guess, first of all, has that been driven more by pricing or just larger bundles in the order? And then also, how do you think about AOV over time when you do your lifetime analysis of these customers? Are you -- do you foresee any type of ceiling on AOV? Or do you see a very long runway of continued increases in AOV if order growth isn't going to be the near-term driver? And then a second question just on COCA in the quarter. That was up, I think, about 3% year-on-year. And you called out channel mix in the release. So how did the channel mix change exactly? Are you spending more on TV or doing more performance-based advertising? Because, I guess, ultimately, I'm curious how the marketing strategy is going to be evolving over time to capture the higher-expectation customers that you're seeking.
Ernst J. Teunissen: Okay. Let's start with the front part of your question. AOV, there are multiple drivers of the AOV. There is an element of price realization involved, but it is more the mix of what we sell, so more content in a single order but also some higher-value products, and this is where the price and the mix of it comes a little blurry. So customers tend to order the higher-quality version of a product, for instance, or the higher-quantity version of a product. And so it's a healthy mix, we believe, of more product -- higher-quality product and, in some cases, better price realization. I'll let Robert talk about the long-term trends for AOV that we see. But to comment quickly on your COCA question, so we saw a COCA increase. We -- you asked about television. It's indeed true that our mix towards television has been gradually shifting over the last years. The -- there is -- has been historically, as you can see in our statistics, an increase of COCA from Q4 to Q1 just on how the seasonality works out. COCA went up year-on-year about 3%. Our AOV has gone up 10%. So our COCA going up is a reflection of how we think about advertising, which is, ultimately, that we can spend to the lifetime value of a customer. And we see, with these AOVs increasing and gross profit per customer increasing, that we can afford to spend a little deeper in channels like TV advertising.
Christopher Merwin - Barclays Capital, Research Division: And just a quick follow-up. Is there a ceiling, though, for AOV? I mean, do you think it can just continue to rise or...
Robert S. Keane: I would say that it depends on what we successfully sell to our customers. So I would refer you back to the trailing 12-month bookings per customer because, in the end, that's the most important metric multiplied by our gross margin to drive gross profit per customer. Now the AOV is a component in that, but the number of orders per year is a very important factor as well. So we have seen a 2-year shift up and to the right of AOV, broadly from the low 30s to the low 40s. I don't want to comment prospectively on where we see that going, but we -- other than to say we do see that as having continued opportunity to increase. If we find that, in fact, there are opportunities to sell more frequently to our customers, and we have lower AOV, we're not opposed to that. But our general trend, we believe, for the reasons that Ernst talked about of customers choosing higher-quality and higher-quantity orders, we do see that there's quite a bit of upside over the long term in AOV.
Christopher Merwin - Barclays Capital, Research Division: Okay, great. And then one last clarification just on the advertising spend. As you shift -- in the mix shift towards TV, is that toward TV or away from TV? And if it's toward TV, you're still reaching that broader audience. How are you able to engage those higher-expectation customers? Is it just going through different networks that reach different demos? Or how has that strategy changed?
Robert S. Keane: No, it's very much a choice of how we position ourselves in the media -- in the advertisement. The media itself changes very little once we're in broadcast. So what I mean by that is, if you imagine a television advertisement that we were doing 2 or 3 years ago, it would've still pushed free business cards. If that offer is going to drive impulse purchases today, we have a series of advertising that are increasingly talking about the value we bring to the brand beyond price and purely price. And so that still may be running on, as an example, ESPN or something. It's the same advertising channel, but the message is different, which brings in a different type of customer. And that same thing applies beyond broadcast. If we are in Google advertising free or we're in Google advertising premium finishes, those words will pull in different types of customers.
Operator: The next question comes from the line of Kevin Steinke of Barrington Research.
Kevin M. Steinke - Barrington Research Associates, Inc., Research Division: So in your earnings release, you stated that improved growth in the Vistaprint brand was in line with your expectations. So is your expectation that revenue growth for the Vistaprint brand will continue to improve sequentially throughout this year?
Ernst J. Teunissen: We're expecting the growth of the Vistaprint business to be in sort of mid- to high single-digit territory, and you saw that it's also what we achieved this quarter. So that's still what we're expecting for the whole year. This quarter was very much in line with what we expected.
Robert S. Keane: But we are not giving quarter-by-quarter guidance in terms of the growth rate. So there's going to be ups and downs.
Ernst J. Teunissen: There's going to be ups and downs. And there's going to be periods in our past year where we did better or not as well, for instance, our third quarter last year.
Kevin M. Steinke - Barrington Research Associates, Inc., Research Division: Okay. And so when you think about all the countries where the marketing and pricing changes have been rolled out, what percent of your total revenue do those countries represent? Because it seems like you've probably hit the large majority of your revenue with those particular countries.
Meredith Burns: So Kevin, where we are at this point for the Vistaprint brand is we're through our top 4 -- actually, we're through our probably top 6 countries, individual countries. And what remains is Europe excluding U.K., France and Germany. And so we've rolled out in North America, obviously. We've rolled out in those 3 countries in Europe. And then we've rolled out in Australia. Japan is a little bit different. We've rolled out there, but it's a joint venture, and we're taking our time to sort of rejigger our marketing programs there. So it's the smaller markets, although, in aggregate, they do represent a meaningful portion of revenue between The Netherlands, the Nordics, Southern Europe. And that's actually a phased approach to the changes. We’ve started some changes late this quarter, and we'll be back with more changes in the back half of the year once we get through the holiday period.
Kevin M. Steinke - Barrington Research Associates, Inc., Research Division: Okay. And so as opposed to -- I think Canada was more of an example, where it was kind of a onetime step function change in terms of marketing, pricing, et cetera, whereas most of the other countries, it's more of a phased rollout. Is that correct?
Ernst J. Teunissen: No, I think we went -- in places like Germany and the U.K., we actually made pretty quick changes. In Australia, we made that as well. I think what Meredith is talking about is in the other markets right now. In Europe, we're very focused on our largest markets, and a lot of our efforts are going into making sure the quality of our customer base in those markets are improved. And these smaller markets, we're going to make these changes as well, but just -- there's just generally much more focus on making headway in these larger markets. And in all our large markets now, now that we have introduced our changes in France last quarter, we have made a -- the significant change that we had made in Canada before.
Kevin M. Steinke - Barrington Research Associates, Inc., Research Division: Okay. And lastly, on customer retention, that implied customer retention metric picked up 1 percentage point. And I think you've talked about how that's kind of the last thing we would see going up after all the changes are made. So is there anything to read into that? Or are we still too early to start seeing meaningful improvements in that customer retention metric?
Robert S. Keane: I would see that as a slight tick in the positive direction, from 41% to 42%. We spend around the 42% -- or 41% for slightly more than a year now. The Investor Day we held in New York, Trynka went through this a little bit, about the significant portion of our base which is retained from one year to the next. It does mean that there's a sluggishness in this. It's a trailing indicator. So if you look at the long-term trend, we came down from the high 40s into the low 40s. And now we've somewhat been flatlined towards that. We think it's a positive sign, but I wouldn't want to forecast a rapid rise out. We do think it's going in the right direction.
Operator: Your next question comes from the line of Robert Peck of SunTrust.
Robert Stephen Peck - SunTrust Robinson Humphrey, Inc., Research Division: Robert, it was a good quarter. Obviously, OpEx was a little lighter than we expected, which is nice to see. Just a couple of questions there. Is that more of a timing thing? And given the beat, why not take the opportunity to raise guidance a little bit organically? And I have a follow-up.
Ernst J. Teunissen: So our profitability was a little bit ahead of our expectation. Revenue was right in line, profitability a little ahead. We saw favorability in advertising. We saw some in OpEx. Some of it is timing, and we will incur later in the year. And we thought, at this point in time, it was not appropriate to -- we're at very early days, first quarter, to change any of our guidance. We still believe that profit guidance that we gave 3 months ago is very appropriate for what we will see in the full year. We'll have, later in the year, a little bit of impact from currency if currencies don't move from their current levels as well. It's not a big impact, but it's an impact for a little later in the year. So all in all, we think our profit guidance is still appropriate.
Robert S. Keane: And other -- the other point that's important is we do stick to annual guidance. And if you look at the seasonality of our business, the several months that we're about to enter, so beginning of November through the end of December, are critical to this quarter. But this quarter is critical to the year, so we didn't feel it's appropriate to update the annual guidance.
Robert Stephen Peck - SunTrust Robinson Humphrey, Inc., Research Division: Okay. And then a quick follow-up here. On the digital business, it was down about 10% year-over-year and continues to lag the core business. Robert, how do you think about this business strategically, long term? Is this a core asset for you? Is it something you can partner with or potentially even just sell?
Robert S. Keane: We like this business a lot. It's part of the core value proposition of Vistaprint, which is to be simply the best place to market your business. If I would -- I will come back to digital specifically, but you need to put it in the context of what we're doing overall. And 3 years ago, we made a very explicit decision to turn towards customer value. And although we had been very successful up until that point in digital, a lot of that digital success came from cross-selling into very impulse-driven purchases, where we had very high rates of churn, but we had a very large funnel of new customers coming in. Unrelated specifically to digital, we said we are going to do a multiyear improvement and clean-up of our value proposition based on all the things we've talked about so many times. That included a radical reduction in cross-selling in what we call the multipage select option. So you -- the cart process you go through, we push much fewer things into the cart. That has really brought down the number of trialers and the number of people who start paying us money. We would -- we like this business. It's very high gross margin. We see it as stable in the sense of it's a business which will always be part of the value proposition of what we offer. If it -- we would like to see it grow in line with revenues, but we're not going to sacrifice the overall value proposition improvements to the customers. So I'd go back to some of the comments and references I made before. If you look at the spend per customer per year, it has consistently trended up over this time. So what that all means is we do like digital. We think it's an important part of how small businesses market their business. We expect it to continue to be part of our business, but it's in the context of the overall value proposition.
Operator: Your next question comes from the line of Brian Fitzgerald of Jefferies.
Brian Patrick Fitzgerald - Jefferies LLC, Research Division: Maybe a quick follow-on, on the digital front. Are you seeing any impact from the new top-level domain names? Can you expand a little bit there? And then you made a minority investment in Printi versus a full investment. Can you elaborate a little bit on what the customer base looks like there as well? That'd be great.
Robert S. Keane: Sure. The -- let me start with Printi. The Printi investment is closer to -- is more along the lines -- or I should say it is along the lines of our Pixartprinting and People & Print Group value proposition. It's something which sells to people who are comfortable with desktop publishing program, typically professionals in the graphics arts industry. We have made a correction to misinformation that was put out by some of the departing VCs, and that's very important about the valuation we paid in that. I would go to our press release to talk about that. But we see it as an important market longer term. We think it will continue to grow in the -- we will continue to grow or start to grow in the Brazilian market, potentially in an approach similar to the Vistaprint model. But this investment is closer to the Pixartprinting or People & Print model. And I'm sorry, the first question you asked was?
Meredith Burns: Top-level domain names.
Robert S. Keane: Yes, TLDs have not impacted us. We get our customers almost exclusively through cross-selling from the Vistaprint customer base into digital, and they're not out there looking for TLDs at the first instance.
Operator: The next question comes from the line of Shawn Milne from Janney Capital Markets.
Shawn C. Milne - Janney Montgomery Scott LLC, Research Division: Just jumping on, so I might have missed a little bit of this. A few questions. So North America looked like you got a little bit better, but the comp was 400 basis points easier. So I guess, the 400 basis point easier comp, there was an uptick of 200. Did you expect more than that? I'm just trying to understand sort of the trajectory of that business. Secondly, it sounds like a lot of the changes in Europe, marketing-wise and customer experience-wise, are now in place in the largest markets. Your ad spend's been running below expectations. Would you expect now to start spending more on marketing for the next few quarters? And then lastly, there was just a previous question about some big beat in the quarter. I guess the way we saw it was most of that beat on the earnings was FX-related and at a different tax rate. So if EBITDA numbers are largely in line, is that -- are you thinking that you're going to be at the higher end of your EPS guidance range? Or no change in the middle? I'm just trying to understand that because...
Robert S. Keane: Okay, so why don't -- you might need to check your line. You’re off for a moment. Could I ask you about -- we won't cut you off the line, but you're throwing a lot of questions out here. So we remember them, let's take them one at a time and go to your first question. We will come back to your second and third. So Ernst, do you want to take the first question?
Ernst J. Teunissen: In terms of U.S. growth, so we did see an improvement quarter-on-quarter. In growth rate, we saw an improvement from the fourth quarter to the -- into the fourth quarter as well from the third quarter, and so the trend is good. The guidance that we've given for the full year is mid- to high single digit overall. The U.S. growth will be ahead of that, and European growth will be lower than that average guidance that we've given. And that is still how we see the prospect for the full year. In terms of the -- I'll take the profit question. So we did see year-on-year margin improvement on all different margin levels. We saw EBITDA margin improvement, for instance, year-on-year; operating income margin improvement year-on-year. I said before we believe that, for the full year, our guidance is still appropriate. We were a little ahead in the first quarter. But as I said before, there was some timing issues involved, and it's very early days. So the guidance range that we have given and have reiterated for non-GAAP is what we believe is a good range to take into account for the full year.
Robert S. Keane: And would you mind repeating your middle question?
Shawn C. Milne - Janney Montgomery Scott LLC, Research Division: Just talking about now that some of the changes are in place in Europe, if we might see a little bit bigger marketing expenditure out of that business.
Ernst J. Teunissen: In terms of marketing spend, overall, for the full year, you should expect a similar level of marketing as a percent of revenue as in the previous year, more or less.
Meredith Burns: For the Vistaprint brand.
Ernst J. Teunissen: Correct.
Meredith Burns: But it should be lower overall because when you add the acquired companies, they've got a much different profile in terms of their spend. They're more in the mid-single digits as a percentage of revenue, and so they will bring that down.
Shawn C. Milne - Janney Montgomery Scott LLC, Research Division: Right. And just as a follow-up on the first point again, the U.S. business was growing double digits as you went through these changes. And again, now we've come off a low number, and now you've improved off easier comps. I mean, is this something where you think you can get into double digits? Or what's holding that business back?
Ernst J. Teunissen: So we have seen in all these markets where we introduced these changes, including in Canada, that there is a multi-quarter trajectory to bottom out and then start to grow again. And that pattern, we're also following in the U.S. So we do expect, over the longer term, that it will go up. And going back to double-digit growth in North America is definitely what we're targeting, but it is going to take a few quarters before we get there.
Operator: The next question comes from the line of Paul Bieber from Bank of America.
Paul Judd Bieber - BofA Merrill Lynch, Research Division: Just a quick follow-up question. Can you remind us about the seasonality of the acquired businesses in Europe?
Ernst J. Teunissen: Yes, they're a lot less seasonal than our overall Vistaprint business. So they don't have the second quarter home and family spike that we see in North America, but particularly in Europe, so it's much more even throughout the year. The second quarter that we have just gone -- so the first quarter that we've just gone through tends to be a little lighter than the fourth quarter. And so if you look at the revenues from the acquisitions, you saw them move down a little sequentially, and that is because, especially in Europe, the July, August period is relatively slow throughout the year.
Robert S. Keane: I would make one clarification. FotoKnudsen, which is 1 of the 3 acquisitions that was recently done, is quite seasonal, as our home and family business. The answer that Ernst just described applies to Pixartprinting and People & Print Group.
Ernst J. Teunissen: The other factor of -- I just said that the revenue moved down sequentially from the fourth quarter to the first quarter for the newly acquired businesses. Currency played a significant role in that as well. As we all know, the euro depreciated markedly against the dollar, and so that's factored into that result as well.
Paul Judd Bieber - BofA Merrill Lynch, Research Division: And have you commented how much the Scandinavian acquisition will contribute to revenue?
Robert S. Keane: No. At the Vistaprint or the corporate global level, it's relatively immaterial. It's a very strong brand in the Norwegian market, but it's a relatively small number in the big scheme of things.
Operator: The next question comes from the line of Mitch Bartlett of Craig-Hallum.
Mitchell O. Bartlett - Craig-Hallum Capital Group LLC, Research Division: Robert, I got on late, so if you've already explained this, then we can take it offline. But I just wondered how Albumprinter did. Europe, we keep hearing all the headlines about Europe and soft Europe. And you're facing a big Christmas quarter, predominantly in Europe. So how did Albumprinter do in the recently completed quarter? How do you think it might do this quarter?
Robert S. Keane: It did well, and we're happy with the performance there, well being very much in line with our expectations. And we have multiple ways we go to market in the Albumprinter group. The strongest growth we're seeing is under owned proprietary brands. We have reseller strategic partnerships which are not doing as well, but we actually are very pleased with the global results of Albumprinter and most pleased with the direct-to-customer under the Albelli brand. We've said many times and I firmly believe that, if we are going to have a transformational business, how an economy does, plus or minus a few hundred basis points in GDP growth, shouldn't change the long-term outlook. And we see very strong growth in Southern Europe, in Italy, France, Spain, in the Pixartprinting brand. We see strong growth in the Albelli brand. So we do believe that this market remains a very large opportunity. The slowdown we've had in the Vistaprint brand in Europe, we think, is because we didn't have a value proposition that was appropriate to drive continuous growth.
Ernst J. Teunissen: And we're fixing that.
Operator: The next question comes from the line of Kevin Kopelman of Cowen and Company.
Kevin Kopelman - Cowen and Company, LLC, Research Division: I just had a quick question. You mentioned the beta launch of the embroidery side. I was just wondering if you could give us any more color on that.
Robert S. Keane: It is a market -- embroidery is a market which we believe has a lot of promise. We acquired a technology firm 4 to 6 years ago, which we used to do some small product line testing and expansion for the last 3 or 4 years. And the product line we spoke about in the Investor Day in August and which you see on our site, it's a beta right now, indicates our belief that we can really significantly expand the number of products offered to our customers. And this shift ties in and it’s very consistent with the general shift of the Vistaprint brand towards a set of products and a value proposition which is higher quality and not just selling purely on free. So we will continue to sell the very low-cost polo shirts that we've sold for years, for several years. But we do see the opportunity to move, in addition to that, into a higher-value proposition as important. All that being said, this is still a beta. It's a major supply chain and operational challenge to do unit-of-one offers for a very broad selection of SKUs. And we're in the testing and ramping stage. And we're getting great amounts of customer feedback on that beta, so we'll be in a high-learning and high-improvement stage for the foreseeable future.
Operator: The next -- so the question comes from the line of Andrew McQuilling of UBS O'Connor.
Andrew McQuilling: On the Pixart and P&PG, what was the constant currency growth rate this quarter?
Ernst J. Teunissen: We don't give detailed breakdowns of those growth rates, but they grew very much in line with what we saw in the previous quarter, which is a high growth and in line with where we were before. So think 30s rather than 10s.
Andrew McQuilling: Terrific. And then separately on the P&PG, what percentage of Q1 sales was redirected to Venlo? What's your target for fiscal '15? How much of the business can you internalize?
Robert S. Keane: We won't go into those details.
Andrew McQuilling: I guess, then, it follows my next question. Your gross margin was really good relative to my expectations. Can you talk about some of the positive variance there?
Ernst J. Teunissen: So if you look at the gross margin excluding the acquisitions, because that's the best way to look at it, it was a little ahead year-on-year, which was mainly driven by some productivity improvement, but it wasn't up that much versus the year before.
Andrew McQuilling: All right. Terrific. And then on the Canadian business, I don't know if anybody is paying attention, but your Google Trends data looks really good, and that's kind of overall interest in Vistaprint in Canada. Can you talk about some of the new customer and repeat customer trends in Canada?
Robert S. Keane: It's been a success story that's continued in the highest level. No, there's not been a step function change since we last spoke about this. But we're multiple years into this repositioning, and Canada was where we first tried this across-the-board value proposition improvement. And I personally have not followed the Google Trends data, but I know that the -- at a high level, we're very happy with the cohort-on-cohort improvements to cash flow per customer.
Andrew McQuilling: All right. Terrific. And then maybe just lastly, on the beta test for the new apparel lines, is that still a March kind of rollout broadly, March quarter?
Robert S. Keane: Well, we will have a significant increase in offerings in the March quarter. So yes, they'll -- what we talked about this summer is still on track. But again, there will be another year beyond that of continued improvement that's easily visible, and we see this as very much the early stages of what could be a material business.
Operator: The next question comes from the line of Chris Merwin from Barclays.
Christopher Merwin - Barclays Capital, Research Division: Just a couple very quick follow-ups. So in terms of the revenue guidance that you gave on a reported basis, looks like you're using the exchange rate for mid-July. Just wondering why that period and not a more recent exchange rate to forecast the year. And then secondly, just as it relates to capital allocation, you talked in detail at the Analyst Day about the DCF-based approach. Just wondered if there's any update on how you're looking at M&A versus potentially buying back stock right now.
Ernst J. Teunissen: So in terms of currency we use for our forecasts, we use a trailing 30-day average. And we update that whenever we give guidance.
Meredith Burns: So it's as of mid-October.
Ernst J. Teunissen: And the reason -- so we took our revenue guidance down by $40 million for the full year, and that is because the -- because of -- purely because of the difference in the trailing 30-day currency now versus 3 months ago.
Robert S. Keane: In terms of your capital allocation question, we are fundamentally committed to trying to be and becoming great allocators of capital. We don't only have the 2 buckets of M&A versus buyback because if internal development is a use of capital, it is something we also horserace. So to the best of our abilities, we try to make our decisions based on allocating across those multiple different opportunities. Specifically in terms of buyback versus M&A, that's a very direct comparison that we do make amongst the many other options simply because of the amounts involved. But we still remain in the same stance we've always talked about, that we will horserace not all of our capital use, especially M&A versus buying back our own shares. And we understand that there's lower risk in buying back our own shares than buying companies. So I think it's very important to say that we seek to not overpay just because we want to grow and, certainly, don't overpay when we go inorganically.
Meredith Burns: Chris, just a follow-up on your currency question. I am noticing an error in the presentation. So for everybody that's out there, we will post a new version of the presentation. In the press release, we said that we're using a recent 30-day average. In the presentation, in one place, there's an error. It does still say July there. It's supposed to say October. I apologize for that.
Operator: Your next question comes from the line of Paul Bieber from Bank of America.
Paul Judd Bieber - BofA Merrill Lynch, Research Division: I was actually about to ask about the currency, so you just answered it.
Robert S. Keane: Okay, well, thank you, everyone, for calling in today. We appreciate your time and attention and look forward to speaking with you in 3 more months. Have a good morning.
Operator: Thank you for your participation in today's conference call. That concludes the presentation. Thank you. You may now disconnect. Have a good day.